Nathan Watkins: So welcome to Fobi Q2 2024 Financial Results Webinar covering the financial results for the period ending December 31st, 2023. I'm Nathan Watkins. Thank you to everyone logging onto this webinar. Today, we are joined by our CFO, Mark Lotz; and our CEO and Chairman, Rob Anson. We'll start with opening remarks and an update from Rob, followed by a financial review from Mark. And then Rob will recap followed by an update. So now with everyone I think attending, I'm going to pass it on to you, Rob, for an initial review.
Rob Anson: Thank you, Nathan. Good morning, everyone. Thank you for joining, once again our Q2 2024 financial results. This has been obviously a whirlwind of a week with a lot of disclosure, a lot of, of course, closing announcements with our various financings. And now that’s, of course, the release of our Q2 financial period. This quarter here we've continued to see great growth while minimizing the operational costs by way of a course positively extending run rate and burn rate of the company. When we start to look at the future here at Fobi, once again, this is a long term roadmap of stability. Now that we've completed our capital raise to have a very solid balance sheet puts us in an incredible position. I'm very, very fortunate and very grateful for all of the support of which we've received over the last couple of weeks through our life offering and then additional private placement. I will pass it over to Mark to highlight some of the key metrics of this quarter's results, and that I'm happy to answer all of the pre-submitted and live chat questions that have come in and will come in over the course of the session here.
Mark Lotz: I think this was an important quarter for the company and we've obviously been working very hard to streamline operational efficiencies and build continuing revenue opportunities. So looking first at revenue, you can see that quarter-on-quarter for the three month period it was an increase of 56% and operationally expenditures have declined by 35%. Turning specifically to revenue. We see that on the left hand side, quarter-on-quarter we've gone from $500,000 to $780,000, it's a $280,000 increase or 56%. And for six month period core year-to-date on year-to-date that is a $480,000 or 46% increase. Next slide, Nathan. Operational expenditures have shown a marked decline. Consulting fees have come down 25% or $286,000 savings. Wages have declined from $1 million to $816,000 or a 19% decrease and technology costs from 307 to 219. So that's a 28% decrease. So overall, we've decreased quarter-on-quarter $1.6 million of operating expenses or a combined reduction of 45%. Next slide. Cash consumed in the operations of the business has similarly declined. We've got a 27% or $803,000 decline year-to-date for six months. So overall, I think the company is poised to do better in the coming quarters. And with that, I'll pass it back to you, Nathan.
Nathan Watkins: Great. And we are just going to hear from Rob Anson, our CEO, now.
Rob Anson: As Mark alluded to here, we've continued to make great strides throughout the last six months here, of course, to maximize the efficiency, streamline the operation. And while of course working through all of the challenges that we did as far as the MCTO in this year's delayed reporting period as a result of the remediation process from our previous year's audit group. So I'm very proud to see the level of focus and the level of delivery on the team to continue to fight through adversity and be able to focus and be resilient. As the numbers shows here, this is about progress. Each quarter, we will get better. We will attempt to continue to minimize where we can. And in the case of some of the other additions and various business additions as far as implementations go, of course, support the business where needed to keep the level of service at which we've delivered to not only renew our contracts as seen to date but of course to continue to be able to evolve the business in a very meaningful and of course margin focused manner.
A - Nathan Watkins: Great. Thanks Rob and thanks Mark. We're going to move on to the Q&A portion of the webinar where Rob and Mark will be addressing some of the questions that have been submitted ahead of time by our investors. So with that, I'm going to crack on. And the first question I have is for you, Rob. The last six months has obviously been very challenging for the company with the long MCTO and with the capital raise. What have you learned as a result of these two key events?
Rob Anson: What I learned? Sometimes you have to be willing and comfortable with the cart almost going off the track. I think one of the greatest things I've learned to appreciate is really the level of calm. I think, as I said, for these exercises, patience is always something I've really learned here and become much better at. Sometimes, it just doesn't matter as hard as you push and by way of, of course, an intense focus in nature. Sometimes you're caught up, in certain scenarios where, to me, you need to be comfortable, with being uncomfortable, if that makes sense. I think the resiliency is the key for us where, when I look at the last six months, the level of focus, of course, of our team to continue to focus on what we can control versus variable factors, which, of course, unfortunately, sometimes as we saw and we're a part of, they derail the current, of course, practice and focus of strategy and plan. Our team has done a tremendous job. I always do my best to acknowledge the team, because the team here -- I mean, it's great that I'm on the front lines and telling the story, but it's really the team in the back that to me is holds everything together. They've done a tremendous job here. Like I said, I'm extremely proud of the level of commitment and level of resiliency. And of course, as we look to now move beyond these adverse, I guess, objections, if you will, it's going to become a lot more fun for all. And I'm very happy to be able to get back to focusing on the business at hand and evolving the story and growing the story and those components. And I think, to wrap it up into that question, I would say, is the level of resiliency, is number one. The level of commitment is number two. I think being able to sit back, as long as you can to let things unfold, obviously, to me, that's what helped us through some of these difficult trying moments versus making knee jerk reactive decisions, which are short term. I've always done my best to try to look at each and every situation as to the long term best practice and solution. And like I said, sometimes those, might not be the most favorable, of course, versus public opinion. But to me, that -- I'm never going to change when it comes to that. Everything we do here is about the long term gain and benefit and the investment of which we make into these decisions, into the company, into the future, are always in consideration with that in mind.
Nathan Watkins: Great. Thanks, Rob. Moving on to the next question I have here is, why did you halt the stock when you announced financings closed? And what was the reading for the reassurance of the previous press release?
Rob Anson: Well, first off, we didn't choose to halt the stock. I'm not sure why I received a few of these questions that day. We had for some reason a lack of distribution on our previous press release, CIRO and the exchange as well as the company, of course. We always have to be as consistent as possible when it comes to dissemination of news. And CIRO felt that the distribution, as I said, for whatever reason, wasn't picked up by enough wires and distribution channels, didn't meet their satisfaction. And therefore, they halted the stock until we could release it and check the box as far as that goes. So once again, that was not our decision. We don't make the rules. We simply live by and do our best to comply with them. And what was the last question to that part?
Nathan Watkins: What was the reading for the reassurance of the previous press release?
Rob Anson: I don't quite understand your question…
Nathan Watkins: What was the reading for the reassurance of the previous press release?
Rob Anson: I'm guessing that's supposed to be reason, that's fine. I think I've covered that. As I said, it was to ensure that we had covered ourselves as far as being consistent and compliant and reissuing on a different distribution channel that enabled everyone the opportunity to see the news that we were offering an extended and amendment life offering document. 
Nathan Watkins: Next one I have is, first off, I hope your health is good, Rob, and congrats on the close of the financing. Going back to Loop Insights and matrix and now with Fobi AI, this has been quite the journey full of many highs and many lows. Can you speak to some of the key highlights and some of the regrets over the last five years? This is quite a big question, big loaded question here.
Rob Anson: Some of the highlights. I think there's been a lot of highlights. I think, it's been a tremendous learning experience. If you go back to the early days of matrix as the person alluded to in Loop Insights, just as a side note, not to derail, but it was really interesting during this capital raise this time. There is quite a few groups that we were reconnected with that literally had no idea Fobi AI was Loop Insights, which to me kind of blew my mind a bit. But obviously, it shows that sometimes there's a bit of a disconnect as far as continuity in brand and of course messaging and assurance of communication. So that's one thing there, which was interesting, because the reaction that we got once they understood that we were Fobi was Loop Insights still, was very, very positive. I think it's because we came out with new technology in many ways as far as data intelligence and machine learning, big data story in the beginning where we brought real time capabilities to market. Obviously, the emergence of the digital mobile wallet as the front end activation channel for the data insights and analytics and portal became a very well received story. And I think at the end of the day, I don’t really -- we've always tried to do things in a different manner. I'm always one for looking at necessarily not living outside the box. But being over on the left when everyone's on the right, looking at the holes and gaps, looking at ways to be able to bridge the advancement when it comes to technology, these things don't happen overnight. I mean, I think it's quite sad that we live in a world of instant gratification and people don't see all of the hard work that goes and the many, many, many years. It's funny. If people actually researched all of these top tech stocks today, they'll be blown away to see it's taken decades to get to where they are. And it's funny to me that we're constantly compared to some of these. And it goes back to, like I've said before, I'm okay not making everyone happy. And I don't have the ability to do so, and I don't intend to go sell ice cream and make everyone happy. So we're going to continue to move the company in a way that's, of course, I don't want to say disruptive, but of course, it's a way that we will continue to evolve the technology and continue to deliver to the market hopefully solutions that are first of kind and provide great way of connectivity and a bridge in a transition to a truly artificial intelligence mobilized future. And that is where we are on the preface of. And this is extremely early days when it comes to the world of AI and true mobilization and I think people are going to be quite shocked to see what comes over the next few years as an industry. I think when we talked about was it regrets, I don't really look at things as regrets, that might sound odd perhaps. But I look at everything as points in time, it's the way I'm able to compartmentalize all of what goes on a daily basis. I have hundreds of decisions to make every day. I can't lie there at night regretting, I do my best to learn from what may be failure in certain people's eyes. But for me, I've always looked at things as a lesson. How do I gain information? How do I assess and analyze to make better decisions, of course, for long term gain and benefits? And then to the same side of it, as I said, I think, one of the greatest abilities that I do have and possess and we try to instill in the company is being able to be completely uncomfortable. I think that to me is, like I said, being able to have the car almost go off the track, that puts you in a position to let things unfold as they may. And I think it helps prevent knee jerk reactions. People panic way too quick, way too often. And this is predominantly the reason why they find themselves in certain situations. In this case here, I don't have a lot of regrets. I can't change the past. All I can do is control the narrative of the future and make the best decision I can each and every day. I do my best to live in a positive mental state and environment. And to the question about my health that's played a big part and it's been a very challenging year. It was a very eye-opening year about prioritization and balance of sleep, not just family. And these things here are extremely stressful situations. Of course, being in the shoes of a CEO of a public traded company and especially under all the circumstances at which the markets have been the last three, four years here, it's been quite a roller coaster and it's been a lot of fun. And I think, like I said, for us, we're focused always on positive and that's defining the company long term. And the short term, there's always going to be pain. There's always going to be some uncertainty and we are always going to get questioned, so that's not a problem and we take it all in stride.
Nathan Watkins: Next one I have here is, how do you plan to increase shareholder stock value and why should we invest more with your company, with Fobi AI?
Rob Anson: As I said, I think part of the biggest challenge, to be honest, is when -- in this case, I'm gonna use the word balance again. It became a point of you can only handle so much and you can only do so much in a manner of proper support and proper service. This was the big reason for us, why we had the decision to make as far as do we sit back and truck along at our pace in which we are or do we a raise to shore up the balance sheet, extend the run rate, put the company in a strong position and go after it. We've got tremendous opportunities ahead of us on many fronts and many levels, and that's the collective decision that we've made. I take great pride in what we've just accomplished here, not just with the capital raise of nearly $3 million but going back to the audit. That was probably the most challenging time I've experienced in, I would say, my life. And I've been through a heck of a lot and including the healthcare of last year. It's easy to walk away, it's easy to quit. But like I said, the resiliency of the team and, of course, the support of the odd message that we get, of course, by way of the investor pass or LinkedIn or e-mail or phone call, that's really what keeps it going. I think, we're in a strong position now. Our biggest risk to me has always been and concern by the shareholders, was balance sheet. We've grown everything the best we could organically to put us in a position of opportunity. Now we'll be able to seize some of those key opportunities that we are focused on here for the remainder of 2024.
Nathan Watkins: Okay, great. It feels as though the company is regaining some momentum. Do you share in that assessment? And if so, what is the value in the most recent announcement with the selection to take part in the Comcast Sports Accelerator Program, and also, when does that start?
A - Rob Anson: I'll start with the momentum. Momentum is is always, to me -- there's various components to it, a lot of it is strategy. As I said, sometimes you have to be willing to take a step back to go forward, sometimes two or three steps, quite honestly. We've made these difficult decisions before. And I think a lot of it here -- we've seen a very large consolidation, of course. I would say we were an easy target, because of the balance sheet for some of the other outlying strategies of trading that goes on. And I think now that, as I said, we've got -- there's a lot that we weren't able to share. There's a lot of positivity around the story, around the company and around the position for a company to be at the state of where we're at from a scale perspective. I can assure you through all of the investor meetings that I had and presentations that I went through over the last several weeks, the fact of the level of scale globally which we have with the total monies raised previously prior to this raise here of under $20 million is if people loose I found that hard to believe. As I said, we've done a tremendous job of executing on scale. The organic revenue growth from transactions and verifications and of course, third party monetization, through data intelligence and whatnot, these are our organic plugins now that come as a result of scale. The distribution, channel of revenue, as well of course, media from an ad tech play, this is where, to me, there's a lot of the interest and a lot of the excitement is around that. It's not easy to scale a company to global perspective and footprint, I can assure you of that. I think these are some of the things that are grossly understated. I think the other element for us, we're not servicing any debt, that was the other sort of anomaly that people found and interestingly that is a huge reason why we're still here. We've made key decisions along the time to grin and bear it and take it as they say. And now at this point here, we're in a solid position. So yes, I do feel momentum started six months ago, and I know it's a different world from what the public gets to see. But the focus of the company, the reward of the focus, these are the things now that we see by way of not just the other contracts we've signed and implemented but the future focus of the company is, I said, we will have a further corporate update now that once the dust starts to settle. Obviously, this has been a huge whirlwind here over the last month or so since we've announced our year end in Q1 and now the raise and then this we'll let the dust settle and provide further details and insight to a lot of what else has transpired. But I do agree, yes, there is positive momentum. I didn't anticipate having to put out five or six press releases in 24 hours, whatever it was the other day but it's fun, it's lot of fun. I said this -- I don't know, a few weeks back whatever on LinkedIn. It's a positive energy. It's really what you feed off. If you surround yourself in a world of negativity, then don't blame yourself for being consumed and having that outlook and succumbing to that ultimately. Surround yourself with the positive group, positive outlook in life and one of gratitude and fortune and it assure is amazing how things quickly change. And we've done our best here to keep positive. And obviously, I get a lot of phone calls and a lot of negative sentiments, that's quite all right. Like I said, water off of the duck's back, as they say, and it's continued to focus on what we do and what we can control and positive future.
Nathan Watkins: And the second part of that question was talking about the Comcast Sports Accelerator program.
Rob Anson: The Comcast one is -- I mean, I think that's something we started six, eight months ago, that obviously with over 1,500 applicants in 52 countries, I believe it was. There was a great deal of interactive and then hurry up and wait and then hurry up and deliver and present again and hurry up and wait. And when we got the call and then it was very exciting. I did a lot of due diligence on the program myself before we even applied it to be part of this and take part in it after we received the first reach out as to, hey, this would be a great fit, we believe for you guys. I talked to a lot of the previous other founders and participants in other years, and they absolutely raved. I mean, even if you see the comments of the senior executives and those that were involved in previous years about the FOMO of missing out of all the excitement that it was part of the program. The program hasn't really officially started yet. It kicks off Saturday. I fly out to Orlando from March 2nd to the 8th, I believe it is jampack itinerary. I look forward to meeting the team and all the other partners. And of course, the business case audit will be very, very interesting. I'm very excited about the program. We've started to dabble in the world of sports and entertainment, of course, over the last couple years. I think this, from what I see here, has the ability to potentially really kick that door down and very much so set the company up in a very strong perspective in that world.
Nathan Watkins: Right, thanks Rob. So moving on to sports and entertainment. The next question is what happened with the Adam Hadwin as to why he is no longer wearing the logo on his collar?
Rob Anson: I take it, that's supposed to be wearing the Fobi logo. We had a two year deal with Adam. I really enjoyed Adam and his agent George. Adam is probably as authentic Canadian as it gets. With that being said, in the world of golf, it did bring a lot of great exposure. We had I don't know, dozens and dozens of people reach out wondering what Fobi was and how they could buy stock and these other things. It created, I believe, very good brand awareness. But for me, as I said, it was a two year deal. I think it's a very safe, I guess, approach to business with Adam, which is fine. We were looking to press the boundaries a little further with the player pass and some of these other assets we're working on with him. And we made the decision not to renew simply because we wanted to look at some other opportunities at which I'm pursuing and working on right now in the world of sports and entertainment. And we'll continue to remain on to support GVCI and other various projects we've done in the past. I spoke to Adam's agent, George, the other day, lots of great opportunities and ideas and that the relationship obviously is very strong and something I'm proud of and grateful for the two of them. I believe I will be seeing Adam in Orlando at the Bob Hope Classic as we'll be attending that as part of the Comcast event on Wednesday, I believe, with the ProAm. So it'll be good to see him. And of course, I'm hoping he took all those golf lessons I gave him to consideration this year as a solid year. That's a joke, by the way, if anyone knows my golf game.
Nathan Watkins: For sure we can hope. When are you going to step down as the CEO of Fobi AI?
Rob Anson: Okay. That's a good one. Let's put it this way. It's how do I answer this. I think for me as the Founder of a company who has the biggest position in the company, I do my best of my abilities to make the best decisions possible for long term strength and growth and viability. I think that for me, I guess, to be quite candid and with all that's going on here of successfully with Ray's and stuff. And as I said, I get it. Maybe I'm not for everyone and I'm quite alright with that. But if there's a someone was to come forward and I'm -- as the biggest shareholder, I'm open to whatever makes the best sense and value for the company. And I guess if my Board was to figure that I'm not the right guy or it's time for a change as the largest shareholder, I would accept that and support it, I guess. I think I've got a lot of great years here ahead. I don't plan on going anywhere. But ultimately, like I said, it's out of my decision. I think that if that was to occur, it is what it is, I guess, at the end of the day. But I don't intend to go anywhere in the next short term, that's for sure. There's a lot of unfinished business here. I guess kind of disappointing to hear this question after successfully raising $3 million in this kind of market environment. Like I said, it is what it is. People always have opinion. And if the opinion is that the company would be in a better position or someone who's more experienced as it gets bigger and at larger scale and revenues, I'm also mature enough to accept that and support that decision. So like I said, each and every day, I do my best to try to make the best decisions for long term shareholder value. And like I said, this is a long game, a long road ahead. And I think it's the biggest part of the company here is day-by-day, it's building blocks. And now, like I said, I would say, our biggest risk it would have been cash flow and we've now just checked that box in a very big way. And like I said, this was a huge feat. And like I said, it's people think it's easy to go raise $3 million in the tech space, in a microcap world with 2024 and what happened in 2023, good luck to you.
Nathan Watkins: So Rob, can you explain what happened to [PulseIR] and as we have not heard anything about it in some time?
Rob Anson : PulseIR, yes, this is is an exciting one for us. We built this obviously to solve a lot of the issues I was having and frustration I was having, quite honestly, with limited time and capacity for the investors. I think what people appreciated was the sacrifice I made and continue to make of my time and access to answer questions the best of my ability that I can, of course. And Pulse was built to me transform the way communications were done, whether that's an events conference provider or wealth management, or investor relations and capital markets, like in this case, the world's gone mobile and here we are still glorified email marketing. So I wanted to make a point of differentiation, I wanted to leverage our technology, and that's was the whole premise of this. We see huge numbers. So we see over 54%, I think it is on millions upon millions of different notifications that we've delivered now. The email open rates were about 4%, which is well above industry standards and norms of two to three. So the mobilization is the way the future. We wanted to do three or four or five sort of use cases to learn a bit more. We were providing a fully managed service for the product. We've now gone on to build out a full AI automated onboarding platform and management CMS. So this is not something that's forgotten about. You could say it's the next evolution of PulseIR is about to unfold. And I believe this will provide huge value to the shareholders of the company. With the path we've decided to go with Pulse. And of course, now other new projects and use cases and technology add-ons and patent filings, and other things that we're working on and have already submitted. There's going to be a great deal of resurgence and resurrection and clarity to the future of what PulseIR will be and ultimately, what it will grow up to be and, of course, what it means to the shareholders. So stay tuned, it's not lost or forgotten, and to the shareholders question.
Nathan Watkins: Great, thanks. This next one is a two-parter, again. When will we learn more about the BevWorks deal as well as you have mentioned healthcare and airports in previous calls. Are you able to speak to those verticals? So let's start with the BevWorks deal.
Rob Anson: Yes, I think the BevWorks and the liquor beverage alcohol side with David Nichols is gaining great momentum and traction. As I said, there will be a corporate update where we'll be able to focus more on the various projects that we are working through today. As I said, we're working through the process now of filings for the HIPAA compliance, which is key for the healthcare. Obviously, is what we've gone through with our ISO certification, SOC 2 and GDPR has put us in a very strong position now with the imminent addition of HIPAA for healthcare will be become a very big interesting one for us. We've already got a very solid pipeline waiting for that certification approval. So I think when we start to look at the communication piece, as I just previously mentioned with the PulseIR sort of answer, access to information, of course, verification, all of these controls of which make healthcare a great opportunity to us is right up our alleyway. And it's something that we see a lot of the clinical trials groups being big opportunity there. Data plays a role, starts with business or -- business starts with data and ends with data. And all of the facilitation of which we provide from a data intelligence aspect and of course a level of verifiable securities and credentials now. And data intelligence, this is just right up alley. And we're hopeful to get certification wrapped up here over the next quarter and to begin to go down that road. The airports is a great fit for us once again. We've taken the approach of an innovation lab model. The airports are siloed across all of the organization. There's a lot of municipal, regional and of course federal opportunities with ease and it's one that's very well fit for our tech stack. And I think the relevancy of which we bring from connected infrastructure and real time communication and verification control piece is absolutely right for this industry. Is there another one I missed? I apologize.
Nathan Watkins: No, this next question kind of flows into that as well, so you can speak more into it. With some of the recent deals that were made in the last 12 months that you alluded to, which industry would there be a substantial opportunity to increase Fobi’s portfolio in the future?
Rob Anson: I would say without a shadow of a doubt, sports and entertainment, healthcare and airports. I look at the insurance is right up there too, of course, is we've seen great penetration here with the various wallet divisions of Fobi. I think when you're looking at emerging technologies too, market education, product education and market readiness is really key. I think, it's the level of business use cases of which we can provide the level of credibility that we have within various industries now with the partners and contracts we service. This is an interesting next two to three years for us as more of the APAC and the North America markets begin to utilize the wallet technology more. And I think as a general broad global, the AI plugin pieces of automation and delivery, this is something that's so early stage. And like I said, it's perfect storm for us, it's on the matrix, I guess, you could say that the level of scale we have now sets for a level of product and of course distribution now of our various platforms and services, which ultimately will lead to, of course, higher visibility and increase of reported earnings.
Nathan Watkins: Great. Thanks, Rob. Can you speak to what you see as the biggest risk factor in regard to this next year ahead to the biggest risk?
Rob Anson: We just checked the box in a big way. As I've said a couple times here today, balance sheet, cash, budget was the biggest risk factor by far. Like I said, I can't understate where we look at balance sheet now with what, 2.95, 2.97, whatever the number was, that's a very, very big number in these conditions and markets. That speaks in great confidence to not just the vision of which the company had but the level of execution, as I said, the non-servicing of debt. There's a lot of things we've done here that I don't think are appreciated and understood, which is fine. I think now that we begin to look at it, shoring up that cash position, balance sheet and run rate now, that's a big one for us. This year's risk factor, I would say, would be sticking to a controlled growth strategy. We're very, very focused here on sort of the core four verticals of which I mentioned here is being the most lucrative under the Fobi banner and product. These other external verticals and opportunities, we will continue to take more of the mindset of an enabling tech partner provider, if you will, by way of creating strategic joint venture opportunities, much like a BevWorks, if you will, and some of the other license deals that we've done, where the technology will be licensed for cash consideration and shares in certain cases for equity, a mixture of both and some other ones that we're looking at right now. I think it's for us now, as we understand our laneways, obviously, these are chunkier deals. The ability to scale them within, of course, is key in our metrics and association to viability and scale of opportunities and profitability and margin of opportunities. Those four, by far, are the sole focus of where we intend to play. And now that the long and narrow comes into effect versus the wide broad approach to building use case and understanding the business model and where we fit from a competitive landscape. As I said, we continue to make the best decisions we can each and every day for the long term benefit and gain of the company and of which we'll continue to do so.
Nathan Watkins: Yes. Great. And you may have already answered this next question. But if there was anything more specific, what can the shareholders look forward to this year, 2024?
Rob Anson: I think for me, as I said, I'm exhausted. This has been a huge six months. I mean, literally, last thing I feel I remember was it was August and summer was starting to wind down. It's been full on since then. And a lot of it, of course, is stuff that was negative consuming, energy and time with the audit. But now I got to tell you, it's super refreshing and I feel very reenergized internally. Based on the momentum is, for one of the other questions there, it's fun. It’s fun to see the opportunity that comes in now on a daily basis. And I think to me here, the greatest factor of that is having a truly commercialized product stack now that's globally scaled. It's now of course we've got a balance sheet that can support the growth of the business and of course, continue now to get focused here on the capital market side once again. It's not easy wearing multiple hats, of course, but this is something that is exciting to me. I love the energy, I love the vibe and the adrenaline of, of course, the deal and strategy. There's a lot of things that -- as I said, we live in a world of unsatisfaction if it's not instant gratification. And I can tell you that that's not the world of emerging technology. So like I said, the gratification to me comes from the moments of growth of the individual team members. We've had a lot of great young talent that's risen tremendously above any expectation I've ever had. And these are the things to me that set us up in a big way for the year ahead. I think to me, it's getting back to the fun part, which is growing the business. I'm super pumped for Orlando. Obviously, there's a great deal that I have to juggle in the interim for other projects and transactions and stuff that we're part of. But no, that's what I live for though. The heavy lift and the arduous tasks of finance plus the year end audit is behind us and great deal of learnings have come from it. But in the case now is super excited to get back to the fun part, and that's growing the business and evolving the story, and sharing the story with those that have not had the opportunity to meet us yet.
Nathan Watkins: Great. Thanks for that, Rob. I have one last question, and it's about the name Fobi. So this shareholder has written, being a proud shareholder, I have yet to understand the meaning of your brand name Fobi. Does Fobi stand for anything in particular? Because some companies base their name for marketing purposes. Now, I haven't done my background on this next bit, but in Greek, Fobi means fear. Has this ever been brought to your attention?
Rob Anson: No, actually it hasn't. I do get asked this question actually quite often, and Fobi is an acronym and it stands for Front Office Business Intelligence. So that's -- yes, maybe it's not about the Greek, but that's where it derived from was Front Office Business Intelligence, Fobi, felt it was a catchy name. And it's funny to me, because there's a lot of people that pronounce it Fobi. It is actually Fobi and that's what it stands for Front Office Business Intelligence.
Nathan Watkins: Great. Thanks for that, Rob. Well, those are all of the questions that have been submitted. Before we wrap up here, was there any final remarks that you wanted to share?
Rob Anson: What happened to all the questions from Mark Lotz?
Nathan Watkins: Yes, it seems like that…
Rob Anson: That's great. Obviously, I'm kidding. No, like I said, this has been a big last week or two here for the company is positive momentum and I guess traction you could say on many fronts across the business. Very, very excited here for spring and the summer of what's ahead for us for the remainder of 2024. I would love to appreciate and thank all of the shareholders who've continually supported us. Through the raise we've met a lot of great level of interest, that was the reason for the addition of the private placement. As I said, we had a couple big orders come in after we had hit the ceiling on the eligible amount for the life offering. And they had no problem taking the standard four months in a day hold as they saw it as long-term investment. And we're looking to get a position and support the company's growth and market as well. And it's good to see, we've got over, I think, it's 10,000 shareholders now. To see the hundreds of people here on the call now, even to the last second listening to me ramble on speaks a lot of the interest, of course, the company and the progressions of it, and the strides of it, as I said, we intend to do our best to continue to evolve the company in a sensible approach, strategic approach. And I think, good things I've always said happen when you're having fun. And I feel the last 10 days here has been a lot of fun and obviously a lot of work, but that [Technical Difficulty]. I don't know if that was me that got kicked out or [Technical Difficulty]. Well, that's the joys of Zoom and technology, I guess. Perhaps we should be creating a next project. I was just finishing up Nathan. I'm not sure Zoom crashed for some reason, but -- or at least. Anyways, I'll just finish up as I said, continuing growth of the company, to evolve the company and all the support is much appreciated. For those that are long term shareholders and, of course, those that are new to the story, welcome. And I believe we've got a very bright future ahead for 2024. And thank you to all those that supported the company over the course of the last five years now, and specifically, those who took part in life offering and private placement. Everyone have a great weekend ahead and we look forward to the next podcast or interview, or whatever comes my way.